Operator: Greetings, and welcome to Marriott Vacations Worldwide Fourth Quarter 2020 Earnings Conference Call.  I would now like to turn the conference over to your host, Neal Goldner. Thank you. You may begin.
Neal Goldner: Thank you, Rob, and welcome to the Marriott Vacations Worldwide Fourth Quarter 2020 Earnings Call. I’m joined today by Steve Weisz, Chief Executive Officer, and John Geller, President and Chief Financial Officer.  I need to remind everyone that many of our comments today are not historical facts and are considered forward-looking statements under the federal securities laws. These statements are subject to numerous risks and uncertainties as described in our SEC filings, which could cause future results to differ materially from those expressed in or implied by our comments.
Steve Weisz: Thanks, Neal. Good morning, everyone, and thank you for joining our fourth quarter call. Before we get started, I'd appreciate it if you would indulge me for a moment to reflect on the passing of Arne Sorenson last week. As many of you have noted, Arnie was an outstanding businessperson with a keen understanding of not only where to take Marriott International, but also what the future look like for the hospitality industry. I think it goes without saying that leaders with the combination of outstanding intellect, coupled with a passion for the business, and a true ability to relate to associates at all level of the company are not easy to come by. Bill Marriott once again showed our industry his wisdom in selecting Arne to be the only person to be CEO. And that did not have Marriott as the last name, and he chose wisely. But I'd like to take just a moment to reflect on Arnie, the person. I had the good pleasure to be able to work as both a colleague of Arnie's as well as having him as a boss for a short period of time before our spin-off in 2011, excuse me. Not only was Arni a good friend of mine, but he was a good friend of our business. His unique understanding of the timeshare business and the connectedness that it had with the core lodging business helped to frame his recommendation to create two separate public companies as a way to unlock considerable value for the Marriott shareholders. Now almost 10 years later, I believe that history has shown not to be an outstanding decision for the shareholders of both of our companies. I ask you to join me and all the members of our team here at Marriott Vacations Worldwide when I say, thank you, Arne. God speed. You will be missed, but surely, not forgotten. Thank you for allowing me the opportunity to express my thoughts. And now I'll proceed on to our call. What are the difference a year makes? It was just one year ago when we reported double-digit fourth quarter year-over-year contract sales growth, and we were talking about the resiliency of our business model. one month later, we closed all of our sales centers, and recommended that owners not come to our resorts due to the pandemic, even going so far as to cancel transient rental bookings. But once government restriction started the lift, occupancies quickly returned, beginning first in our drive-through markets, but expanding as the year went on, illustrating timeshare owners' desire to get back on vacation.
John Geller: Thanks, Steve, and good morning, everyone. Today, I'm going to review our fourth quarter results the recovery we've continued to experience across our business, the status of our synergy initiatives and the overall strength of our balance sheet and liquidity position. Our fourth quarter results reflect a strong sequential improvement from the third quarter, illustrating the resiliency of our business with resort occupancies, contract sales and exchange transactions all improving. As a result, we reported $72 million of adjusted EBITDA for the fourth quarter, more than doubling our third quarter results, once again, demonstrating the strength of our leisure-focused business model.
Operator: Thank you. At this time we will conduct a question-and-answer session.  Our first question comes from David Katz with Jefferies. Please proceed with your question
Steve Weisz: Hi, David.
David Katz: Good morning, gentlemen. Appreciate all of the detail. I wanted to go back on two things if I may. There's so much discussion about pent-up demand and if we could maybe break that down just a little bit further, right? We would expect that there is pent-up tours, right, pent-up marketing packages, pent-up visitation, right? But can you maybe give us just a bit more detail as to how we would break down the notion of pent-up demand, which seems obvious and intuitive, but some more detail would help.
Steve Weisz: Sure. So if you look -- I think I reported in my remarks that the second half of the year looks like we're 8% higher than we were at the same time in 2019. If you look at the first half of the year, it's actually down 16% on the same comparable basis to where we were in 2019. However, the bulk of that is largely in Q1. Q2 is down a couple of points. But -- so when you average it all out for the full year, it's down about 8%. I think it all stands to reason if you sort through it. I mean, as I reported, people are anxious to travel. They're already looking to book travel, but they want to make sure that they have the benefit of the vaccine. They've heard about the rollout of vaccines and some prognostications that the bulk of America will be vaccinated by the summer. So I think that all kind of syncs up well with how it is. And the other point, and I can't regurgitate the number, but there was a huge percentage of the population in 2020 that never took a vacation. That stands to reason given the circumstances we all found ourselves in. So in addition to their normal inclination to take a vacation, I think it's been amplified by the fact that they haven't been able to get away in 2020. So that's the best visibility we can give you right now. The 80% of our sales in our resorts come from people that are in residents at our resorts. 50% basically are in-house guests and another 30% are people that are on vacation -- or on packages. So as our resorts continue to fill up, we will continue to see sales grow proportionately.
David Katz: Understood. And just a quick follow-up, if I may. The Welk opportunity, I think, highlights what may be some latent value with respect to Hyatt. Can you color us in a bit on what you -- what we could reasonably expect that Hyatt brand to bring in terms of tour flow sales, visitation, anything qualitative because I think we -- per your name, we usually think of you with Marriott, but there's this other thing there, too.
Steve Weisz: Sure. I think probably the easiest way to think about it is that when we acquired ILG, I would tell you that the Hyatt Vacation Residence business was basically relatively dormant in terms of what people were doing actively to try to grow the business. I think I've reported in previous calls that when ILG acquired Hyatt, they had 16 resorts. And when we acquired ILG, they had 16 resorts, that was four years later. So we do believe that there is quite a bit of opportunity there. In the Welk business, the way in which they typically source customers because they didn't have kind of one of the major hospitality brands affiliated with it. They did a lot through sports marketing and OPC venues where they generated customers. Typically speaking, those are low yield, high cost kind of channels to source customers out of. We believe that we will start to strip out some of those costs as we replace them, with things where we'll continue to obviously look to penetrate the World of Hyatt program just as we have done in the Marriott Bonvoy program. We will continue to change practices about how sales are done at the site level. For instance, putting in the equivalent of our Encore program, which is has proved to be very successful for us and has a very high VPG number. We'll put that in. And the only caveat I would throw into this is it's going to take us a little while for us to rebadge the Welk Resorts as Hyatt. Call that, the end of this year, first quarter next year. But then there's another impediment to being able to integrate all the inventory, and that is the fact that Welk today is an RCI affiliate, not an Interval International affiliate. So that makes -- putting the exchange program in place much as we have done on the Marriott side, a little more problematic. That affiliation ends in 2022. And obviously, we would look to then reaffiliate Welk back with the Interval International from which they used to be, by the way. So the -- I think I reported that we said that we think by 2024, and hopefully sooner, it's going to mean somewhere in the neighborhood of $60 million to $70 million of adjusted EBITDA. I think we should look to take their development margin, which is today, low single digits up into that 20% to 30% range. And contract sales, obviously, we want to try to grow substantially. And we think contract sales by 2024 could be $160 million to $180 million in that range, roughly.
David Katz: Perfect.
John Geller: Just for reference, David, I'd add there. I mean that $60 million, $70 million Steve mentioned versus, call it, Hyatt, on a pre-COVID basis of EBITDA, I mean it is a fraction of that $60 million to $70 million incremental. Just to put it in relative size, all the improvements you're talking about are really are going to drive not only the top line, but on a percentage basis, huge EBITDA growth over the next two to three years within the combined Hyatt, Welk business.
David Katz: Thank you very much.
Steve Weisz: Thank you.
Operator: Our next question comes from Patrick Scholes with Truist Securities. Please proceed with your question.
Steve Weisz: Good morning, Patrick.
Patrick Scholes: Hi -- Good morning. Thoughts on timing of reopening the Hawaii sales centers. And can you give us a little bit of additional color on how some of those preliminary reservations and bookings book for Hawaii going forward? Thank you.
Steve Weisz: Yes. As I think I reported, I mean Hawaii ex-Kauai are running at roughly 50% occupancy. Now there's still the requirement. You have to have a negative COVID test before you arrive at the islands, et cetera. Kauai is the outlier. There's still a 14-day quarantine restriction in place, albeit, for instance, at the Kauai Beach Club, where we have it, we have kind of a broader -- as long as you say on-campus, you don't have to actually stay in your room or in your Villa you can move around the resort. But it's relatively restrictive. I wish I had better visibility in what the mayor of Kauai is thinking. Currently, I think they're saying maybe the end of March, but we hear kind of informally that, that may get extended further in Kauai. They want to make sure that the vast majority of their population has received a vaccine. Now with that said, our sales centers and the rest of the islands are open. And as occupancy continues to build, I think you'll find that we'll continue to see a good thing. I'll give you a couple of statistics. So just looking at this past week, Maui ran 75% occupancy, Oahu and 85% occupancy. So that's contrasting to Kauai in the 20% range. So we feel reasonably good about how Hawaii will respond. Obviously, it's a very important market for us in terms of what percentage of our -- not only our combinations, but also our sales representative there. But we think it's starting to see a rebound. Clearly, Hawaii remains an aspirational destination for the vast majority of our owners.
Patrick Scholes: Yes, absolutely. And I aspire to be there in July of this coming summer...
Steve Weisz: There you go.
Patrick Scholes: And then a question-- thank you. John, a question for you. Expectations, thoughts around a securitization or securitizations for this year? Thank you.
John Geller: Yes, sure. We're targeting one here in the second quarter, just from kind of where rates are today, we see potentially some significant improvement even over the cost of funds we did last year of, call it, 2.5%. So we still got a few months here, obviously, before we execute that deal. But the demand's there. We've seen spreads continue to tighten since the deal we did last year. So the setup looks pretty good right now. And no different than we've done in the past. As recovery comes back, we'll target in that, call it, $350 million, $400 million type securitization. And once again, similar to last year and what we've done historically, we expect probably in the 98% advance rate. 
Patrick Scholes: Okay. Good to hear. Thank you very much.
John Geller: Yes.
Steve Weisz: Thanks.
Neal Goldner: Rob? Jared? Are you there?
Jared Shojaian: Hello. Can you hear me?
Steve Weisz: Yes. Little technical snafu there. Good morning.
Jared Shojaian: Good morning, everyone. Thanks for taking my question. So you talked about reservations being up 8% in the back half of the year versus 2019. Hypothetically, assuming that largely materializes and reservations end up coming in pretty similar to 2019, and we assume the world is largely back to normal. Can you help us think about what that translates into for contract sales and revenue relative to 2019? Because, obviously, I know there's a little bit of a lag. You're not going to have the same level of new owner sales. I think the financing portfolio is obviously smaller today than it was then. So I think we're kind of struggling to understand what that revenue ramp is going to look like, assuming the forward bookings end up materializing. So anything you can kind of share to help us think about those puts and takes would be helpful.
John Geller: Sure. Jared, it's John. I'll kind of step through some different parts here of the business. Clearly, like we've always said, the majority of our sales come on site, right? So as occupancies come back and a combination of owners, packages, all the tours and all that as well as the rental side, that all bodes well when you're doing 80-plus percent of your sales from people, if you will, staying at the resort, right? So I would expect, if, to your point, you get back to those occupancies, that should be helpful. I think there will be a greater mix of owner usage in the second half of the year versus being able to -- maybe the package tours. So we're working through all that. There's pros and cons with that. Obviously, owner sales have higher VPGs are more efficient, but they typically come at, on average, a lower overall first time purchase, right? And so there's that mix there. But I think we're continuing to build the pipeline is back in market, and that includes reopening linkage that we have in a lot of our resorts. But the one thing we're going to start to not bring back, if you will, and really look to focus more on our package pipeline to replace was on -- really on the Sheraton side, some of the off-premise contact, mainly in Orlando and Myrtle Beach. So that -- not a huge percentage of the tours, but we're not looking to turn those low efficient tours back on. It's going to be better cost going forward, but it's also going to help us with better VPG. So I do think if you kind of get back to that on a run rate basis in fourth quarter, you're going to get your contract sales closer to where you were in 2019 and have a great opportunity to obviously improve on that as you go into 2022, right? And the other parts of the business will recover with occupancies. I mean the resort management where we're missing a little bit right now is this the on-site ancillary businesses, right? So once again, as those occupancies come back in the third and fourth quarters, we should be able to drive that ancillary profit and get that year-over-year growth going. Financing. The good news is, notwithstanding the notes receivable balance has been coming down, like we talked about here for the first quarter, given the timing of some of the interest expense as well as synergies and other costs we've continued to take out of the business, we expect financing profit in the first quarter to be relatively flat from the fourth quarter, right? So that's all -- and the sales start to go back up and we start to grow that notes receivable balance later in the year, that hopefully will start getting us growing our financing profits as we move through the end of this year into next year. And so the other big question mark is rentals. We'll continue to have some of that compression, if you will, of owners wanting to stay more in the second half of the year. We've got, as Steve mentioned, lower occupancy here in the first quarter, less book -- less nights on the books right now. So with that compression of owner, that will impact our ability to do open market rentals. But once again, the offset is you have more owners staying at the resort, and that's going to help you on the contract sales side. So not necessarily a horrible trade-off, but rentals will take a little bit more time to come back as you go through 2021. But once again, as you start to get into 2022, assuming more normalized occupancies, a lot of that shift in compression will start to make its way through the system. And then on the exchange and third-party management side, we continue to see sequentially here, some growth there in terms of the business coming back. So hopefully, from here, it's that kind of continued progression up. Obviously, that business was not -- is impacted in terms of revenues going down as much as the VO business. So very resilient. And then our G&A, once again, and more broadly, just the synergies that we're talking about, that's going to help too in the recovery here going forward.
Steve Weisz: Hey Jared, let me just add one other thing, and this is probably not a surprise to you. In 2019 -- I don't have the exact number here in front of me, but I think what we typically call linkage sales, which are people that are staying in hotels. In markets where we have sales centers, et cetera. Those were close to a couple of hundred million dollars' worth of sales. Obviously, as hotel occupancies continue to lag the recovery that we're seeing although it could be less people for us to be able to target and recruit tours from. And so that's just another little bit of a headwind that we have to face. But everything that John just articulated very well, in my opinion, should come into play. And I said in my remarks, I said I'm very optimistic about how we look -- how this year is building and what is going to deliver for us toward the end of the year.
Jared Shojaian: Okay. Thank you very much for that. And then, John, just going back to the first quarter, you gave a lot of really helpful commentary on a bunch of different line items, which I'm going to have to go back and aggregate. But at a high level, to summarize, you did $72 million of adjusted EBITDA in the fourth quarter. Do you think first quarter is higher or lower than that number based on all of the puts and takes you gave us?
John Geller: Yes. It will be lower, primarily due to the revenue reportability, right? We always have -- and this should -- just keep this in mind as the business recovers every quarter, right? In a normal year, we've got revenue reportability in the first quarter that's negative, right? Because you're -- March -- end of February, March is typically higher contract sales than that November, December, right? And that -- as we've talked about in the past, that notwithstanding contract sales being higher, you don't get necessarily the benefit of that until the second quarter, right, when those contract sales close. What you have now in a recovery, right, is that's even more exaggerated, right? So not only do you have the normal seasonality of that November, December time frame. You have the acceleration of sales quarter-to-quarter, right? And that's why it's going to be a little bit more pronounced. And arguably, right, if the recovery continues, you're going to see that kind of every quarter, right? And even on a full year basis, just given where you ended up 2020, and probably going to have higher negative reportability for the full year. Once again, just timing, right? It's just the nuance of when we actually make the sale and when it actually comes through the P&L. But that's going to be, as you think about the recovery, that's why we always report contract sales. It's a better leading indicator, right, in terms of what's happening in the business, people buying, et cetera, but the reporting lags that a bit. So that's your biggest thing. I mean, obviously, we've got synergies that are helping offset cost increases, but we're bringing back -- we paid no bonuses in 2020, right? We started to factor some of that back in here as we get back to a more normalized basis. We've got reduced most likely, depending on what happens with any new -- anything that the Biden administration might do from a COVID relief package, we're expecting less tax credits from the retention tax credits and things that were in the previous package. So that's where you do have a little bit of just as part of the recovery. And we still don't have all our people back to work, right? We've been managing that, bringing it back with the top line growth. So, on a pure cost perspective, yes, you've got some things here. That will continue to come back with the recovery.
Jared Shojaian: Okay. Thank you very much for all that color. I'll jump back on the queue.
John Geller: Yup.
Operator: Our next question comes from Ben Chaiken with Credit Suisse. Please proceed with your question.
Ben Chaiken: Hey. Thanks for taking my question. How's it going? Just to clarify, Jared's question. So maybe looking just at the VOI business. Should contract sales follow bookings, which I think you said in the back half of the year was plus 8% for the back half of the year or higher or lower, sorry, just maybe had a little bit of trouble following that. Sorry.
Steve Weisz: Well, I think it's -- just to clarify, we said that our bookings for the second half of the year are 8% higher than they were at this time for 2019, which obviously gives you a sense of what the relative demand is for that period of time. Given the fact that 80% of our sales come from people that are in-house, then one should conclude that the velocity of sales growth will, in fact, continue to grow as we get into the subsequent quarters to the first quarter.
Ben Chaiken: Got it--
John Geller: Yes. Think just to, Ben, on the occupancy, right? Just take fourth quarter North America occupancy, which I think was in 60%...
Steve Weisz: North America was 7%.
John Geller: Right. So if occupancy is get back to the 90-plus percent, right? We normally run. And what we're saying is what's on the books today is showing that trajectory, right? We still need to see how it recovers. Your occupancy on a percentage basis is going up, call it, 40%, if you will, right? That's what's going to drive your contract sales on a relative basis. It's not the -- the eight points is just telling you where you're at today versus where you were at the same time in 2019. But the bigger story is that recovery of occupancy from where we're at today, right, to something in that 90-plus percent range. Which is what we would have run in 2019.
Ben Chaiken: I got you. Makes sense. That's helpful. And then just a quick clarification on the $200 million in synergies can you give us maybe broad strokes? Or I don't know how much granularity you have. But basically, what would be -- of that $200 million, what would be incremental to 2019? Because I think you've been working on this for a couple of years now. So just trying to figure out...
John Geller: Yes.
Ben Chaiken: What was maybe captured in 2019 versus what would be incremental to the reported 2019 EBITDA number? Thanks.
John Geller: Yes. I mean, in 2019, I'm looking at Neal here, I want to say we add $40 million to $50 million of in the year savings of that $200 million. We can get to the actual number, Ben. So it would be that to the $200 million, right, apples-to-apples, when you get a full year run rate of the $200 million, it would be something in that $150 million, plus or minus, I think, of incremental as you think about 2019 actuals.
Ben Chaiken: Great. Appreciate that. Thanks. That's all for me.
Operator: Our next question comes from Brandt Montour with JPMorgan. Please proceed with your question.
Steve Weisz: Hi, Brandt.
Brandt Montour: Hey. Good morning, everyone. How are you? Thanks for taking my question. So just thinking about the sequential lift in the 1Q or the sequential progression in the 1Q versus the 4Q. I just wanted to understand if that is coming from one or two markets, one or two large markets that are improving or if it's more broad-based? What did you sort of assume in that guidance?
Steve Weisz: No. It's clearly more broad-based. As you will recall we sell a portfolio product so that each one of our sales center is selling the same product that we are elsewhere. And we're seeing the build in demand to be across the waterfront. It's -- it's not focused on any one particular area. But no, it's across the system. I guess the one area that it's a little bit of interesting for us will be to see how quickly Europe and Asia Pacific respond. Europe, there are still cross-border restrictions that are in place, and we'll see how long that takes to sort itself out. And largely, everything in Asia Pacific is within country. So there's not much international travel between countries in Asia Pacific. But again, as you well know, the vast majority of our sales are a function of what goes on here in North America, and we see that to be building very nicely.
Brandt Montour: Okay. That's great. Thanks for that. And then on the consumer loan book, and John, I think you sort of wrap this up by giving us the recent delinquency rates. But just wanted to maybe close the loop, it sounds like there's no sort of incremental reserves that would need to be taken unless something really bad happens. So I guess the question is, what would you have to see in this year so far for a situation for you to take more excess reserves.
John Geller: Yes. I mean, clearly, I think you'd have to see something more broadly from an economic impact. Remember, we took that reserve back in May, end of April, right, with our first quarter with very limited visibility. We told you at the time that the other reserve actually was based on not only what we saw, but what the Vistana business saw, which we didn't own at the time, right? So we didn't know all their marketing practices and what they were doing. But back -- coming out of the financial crisis. Obviously, not the best comparison, but it was the best we had, right? And we looked at what defaults did back then. And obviously, the portfolio is different. Our portfolio is different coming into COVID than what was coming out of the financial crisis. So there were variables in there. And we took our best estimate as we've looked at it, Brent. I mean, we think this is what we need. Delinquencies, as we mentioned, we're basically at the end of the year back to pre-COVID delinquency levels. and even over the last, call it, 30 to 45 days, we've seen delinquencies by brand come down another 30, 40 basis points. So in a lot of cases, below, right, back where we were pre-COVID last year. And the other final point I'd make on that is which is on a declining notes receivable balance, meaning that's a headwind, right? As you originate new notes and you're growing the balance, your delinquencies, apples-to-apples because you have more newer notes, generally would trend down, right? We're on a declining, and we continue to trend down. So I think it all frames up. It's what we think we need here going forward. But yes, I mean we feel like we got a little bit better sense as to how the notes have performed over the last eight or nine months, obviously, with the impact of COVID.
Brandt Montour: Makes sense. Thanks a lot, guys.
Steve Weisz: Thank you.
Operator: Our next question comes from Jared Shojaian with Wolfe Research. Please proceed with your question.
Steve Weisz: Welcome back.
Jared Shojaian: I -- thanks for taking my follow up. So you talked about the excess inventory you have on hand, the $580 million and that you expect significant free cash flow over the next few years. Can you help us frame a way to think about that in terms of maybe a historical conversion rate versus a new conversion rate over the next couple of years? Or maybe it's an absolute number on free cash flow should be x million greater than the normal? Like how should we think about that excess inventory resulting in additional above normal free cash flow? Sure.
John Geller: Sure. I mean, historically, Jared, I would say that if you think about our adjusted EBITDA on a more normalized cash flow, we've been converting roughly in that, call it, 55%, plus or minus, and what I mean by normalized free cash flow, right, that would assume that from an inventory perspective, you're replacing what you're selling off-the-shelf from an inventory spend. So kind of a net neutral rate as you think about free cash flow. And if you look at the conversion, right, the pieces of that interest expense is somewhat fixed, right? So EBITDA needs to come back to kind of where you were in 2019 to get that kind of same conversion, if you will, on interest expense. Taxes, right, are going to be tied more to your EBITDA, more variable. So you'll have some flexibility in terms of how you think about cash taxes as a percentage of EBITDA. And then the other one that's in there, historically, we've spent, call it, $80 million to $100 million of corporate CapEx. That $80 million to $100 million, obviously, as the business is recovering, we're going to manage lower and then as the business comes back, and we'll get back to probably a more normalized levels. So yes. It's really -- those are the different levers as you think about it. The opportunity we're talking about is, as your EBITDA comes back and you get to -- on a, call it, a 2019 EBITDA, more of a 55-plus or minus conversion rate that additional $580 million, right, is going to help take that all else being equal, is going to help take that up over time. Now the only thing I'll tell you is we'll continue to buy back inventory very favorably on the secondary market and do some of the things we do. So it will be a multiyear recovery. But that potential of the $580 million is what's kind of above or going to help your conversion ratio.
Jared Shojaian: Got it. Okay. Thank you for that.
John Geller: Yup.
Jared Shojaian: And then I wanted to ask about the comment you made about one of the Interval customers choose -- chose not to renew. I know that's largely immaterial bottom line impact, what you were saying. But can you help us understand and think about the risk of other customers choosing not to renew and I guess what gives you confidence that this was kind of an isolated event rather than a potential new trend?
Steve Weisz: Yes. First of all, we're not aware of any other significant affiliate of Intervals not choosing to renew or looking to do something alternatively. I think the other thing I'd point out typically speaking, in the exchange business, as you know, it's kind of a 2-horse race. It's Interval and it's RCI. And usually, it's a share game. If an affiliate was an RCI member comes to Interval or vice versa, its just moving back and forth. In this particular case, this affiliate chose not to be involved with any external exchange company. They have decided that they believe that the strength of their individual portfolio is strong enough to support the needs of what their owners are looking for in terms of being able to find alternative vacation experiences. I think that will remain to be seen. Now with that said, you may recall that back in 2010, when we went to points, we put our own captive internal exchange system in place for people to be able to -- if they wanted to go from one Marriott-branded resort to another. They didn't have to go through interval in order to get there. So this may be a page out of that same book that this other developers choosing to go to. We'll wait and see. We always maintained our affiliation with Interval only because there are locations in the world where we don't have product or vacation experiences that people want to go to, which I think is one of the strengths of either of the two exchange companies, I happen to think that Interval is a higher quality exchange company. But be that as it may, this is a decision they've made, but we -- again, we're not aware of anybody else that's contemplating a similar move.
Jared Shojaian: Great. Thank you so much for taking the time.
Steve Weisz: Thank you.
John Geller: Thanks, Jared.
Operator: We have reached the end of the question-and-answer session. At this time, I'd like to turn the call back over to Steve Weisz for closing comments.
Steve Weisz: Thank you, everyone, for joining our call today. 2020 was certainly a difficult year for the hospitality industry, but it also proved how strong our business model really is. People like the vacation. And when they own their vacations, they try to find a way to use it. You really don't need to look much further than fourth quarter results and see just how resilient our business really is. Our North America resort occupancy has averaged nearly 70% during the fourth quarter in the midst of a pandemic. Total contract sales increased 27% sequentially. Interval exchange transactions grew 17% on a year-over-year basis. Adjusted EBITDA margin improved nearly 650 basis points sequentially from the third quarter. And our run rate cost savings grew to roughly $135 million in 2020, nearly double where we were at the end of 2019 and taking us even closer to our goal of at least $200 million in savings. Looking forward, our tour pipeline is now more than 165,000 packages sold with more than 50,000 of those customers already booked for this year. And reservations on the books for the second half of this year are 8% higher than at the same time in 2019, illustrating the pent-up demand, we think, will start to manifest itself later this year. As always, thank you for your interest in Marriott Vacations Worldwide, take care of yourselves. And finally, to everyone on the call and your families stay safe and enjoy your next vacation.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time and we thank you for your participation.